Operator: Good morning. And welcome to the Air Products’ Fourth Quarter Earnings Release Conference Call. Today’s call is being recorded at the request of Air Products. Please note that this presentation and the comments made on behalf of Air Products are subject to copyright by Air Products and all rights are reserved. Beginning today’s call is Mr. Simon Moore.
Simon Moore: Thank you, Simon. Good morning, everyone. Welcome to Air Products’ fourth quarter 2022 earnings results teleconference. This is Simon Moore, Vice President of Investor Relations, Corporate Relations and Sustainability. I am pleased to be joined today by Seifi Ghasemi, our Chairman, President and CEO; Dr. Samir Serhan, our Chief Operating Officer; Melissa Schaeffer, our Senior Vice President and Chief Financial Officer; Sean Major, our Executive Vice President, General Counsel and Secretary; and Sidd Manjeshwar, our Vice President and Corporate Treasurer. After our comments, we will be pleased to take your questions. Our earnings release and the slides for this call are available on our website at airproducts.com. This discussion contains forward-looking statements. Please refer to the forward-looking statement disclosure that can be found in our earnings release and on slide number two. In addition, throughout today’s discussion, we will refer to various financial measures. Unless we specifically state otherwise, when we refer to earnings per share, EBITDA, EBITDA margin, the effective tax rate and ROCE both on a total company and segment basis, we are referring to our adjusted non-GAAP financial measures, adjusted earnings per share, adjusted EBITDA, adjusted EBITDA margin, adjusted effective tax rate and adjusted return on capital employed. Reconciliations of these measures to our most directly comparable GAAP financial measures can be found on our website in the relevant earnings release section. Now, I am pleased to turn the call over to Seifi.
Seifi Ghasemi: Thank you, Simon, and good day to everyone. Thank you for taking time from your busy schedule to be on our call today. I am extremely proud to say that Air Products with grit and determination has again made great progress this year despite macroeconomic headwinds. We exceeded our financial goals, had great results, and at the same time, reached many key milestones that significantly advanced our growth strategy. I would like to thank each one of our talented, dedicated and motivated employees at Air Products for their exceptional efforts. I am proud to be working alongside them as they continue to deliver strong near-term results, as well as executing our long-term strategy. Before I discuss our results, I would like to share some good news. In his opening comments, Simon mentioned that Mr. Sidd Manjeshwar is joining us on our call today. In addition to Sidd’s existing responsibilities as our Corporate Treasurer, he will also be taking on the additional responsibility for leading our Investor Relations team. As we shared last quarter, Simon is planning to retire at the end of March 2023. For the next few months, Simon and Sidd will be working closely together to ensure a smooth transition. Sidd brings a breadth of knowledge and expertise across finance disciplines, and since joining Air Products in April of 2021, he has played a key role in supporting our financial policies and strategies. I know he will be an exceptional and excellent resource for our investors and analysts as we continue to communicate and execute our growth strategy. Sidd, congratulations from all of us and would you like to say something at this stage?
Sidd Manjeshwar: Thank you, Seifi. I appreciate your kind words and I am humbled and honored to be part of this tremendous team, and to be taking on these additional responsibilities. I am very much looking forward to meeting with our analysts and investors, and continue to create work Simon has done to engage them and share our exciting growth strategy. Thank you once again and I look forward to connecting with everyone.
Seifi Ghasemi: Thank you, Sidd. And now please turn to slide number three. Before I will discuss our results, I would like to highlight our safety performance, which is always our highest priority. We continue to make progress, but we can always do more to ensure the safety and well-being of our employees. Our ultimate goal is a zero incidents and accidents. Now please turn to slide number four. For fiscal year 2022, our business delivered strong earnings per share of $10.41, an increase of 15% compared to last year. Price and volume both improved across the regions and the Jazan project contributed as expected. Our team delivered these impressive results despite a $0.24 per share headwind from currency and challenging macroeconomic environment. These results for sure confirm the resilience of our business portfolio and the absolute commitment of our people to deliver near-term results. Now please turn to slide number five. These excellent results confirm once again that Air Products has the capacity to deliver near-term performance, while executing our ambitious long-term growth strategy. On slide number six, you see that since 2014, our goal has been to deliver an average EPS growth of 10% per year. In the last eight years, we have exceeded this goal and delivered 11% for this time period. As you can see on slide number seven, we have consistently delivered positive earnings growth since 2014 regardless of the macroeconomic conditions. Our on-site business with its take-or-pay contracts gives us downside protection and our merchant business having volume and price flexibility, can provide upside potential. In addition, our backlog of nearly $20 billion will add significant long-term growth in the future. Now I am on slide number eight. For fiscal year 2023, our guidance is to continue this trend and deliver adjusted earnings per share of $11.20 to $11.50. I would discuss our guideline in more detail later in the call. Now please turn to slide number nine. The strength and the stability of our business provide a secure steady cash flow and we are committed to reward our shareholders by paying a healthy dividend. The whole team is very proud that we have provided 40 consecutive years of dividend increase to our shareholders. This extraordinary achievement is a testament to our people and their strength and stability of our business. On slide number 10, you can see that our dividend has grown 10% per year on the average in the past eight years mirroring our earnings growth. We expect to return more than $1.4 billion to our shareholders in calendar 2022 and still have significant cash flow to support our growth opportunities. I would like to point out that on slide number 11, which is still my favorite slide, about three quarters of the decline since the peak margin was due to higher energy cost pass-through, which increases our sales, but does not impact profit. On slide number 12, you can see a summary of our management principles, which I have shown to you every quarter in the past eight years. These principles have guided and will continue to guide our performance as we go forward and we intend to follow these policies consistently as we go forward. Now please turn to slide 13 for a brief overview of our latest green hydrogen project that we announced recently. We took another significant step forward toward a clean hydrogen future by announcing our investment of about $500 million in a new green hydrogen project in Massena, New York, located on the banks on the St. Lawrence River. The facility will produce about 35 metric tons of green liquid hydrogen using almost 100 megawatts of hydroelectric power provided by the New York Power Authority. We are excited about this project since it broadens our renewable energy sources to include hydro power in addition to solar and green energy. It also demonstrates the growing support for the energy transition in the United States, which has been further reinforced with the passage of the Inflation Reduction Act. We are actively pursuing other project opportunities for green hydrogen in the United States, driven by this world-leading legislation. I look forward to sharing more information about these projects as we go forward. Now please turn to slide number 14. As you know, we announced our sustainable aviation fuel project with World Energy in April. This project is another great example of the investment opportunities that further support -- that is further supported by the Investment Reduction Act legislation. We are -- as a result of that legislation and the incentives put for sustainable fuel aviation, we are expanding our scope and now we will investment -- we will increase our investment from $2 billion to $2.5 billion in this project. We still expect that this project will contribute more than the minimum returns that we have promised you before. Projects like these are aligned with our energy transition strategy and will continue to drive our earnings now and well into the future. Now, with that, I would like to turn the call to Melissa Schaeffer, our CFO. Melissa?
Melissa Schaeffer: Thank you, Seifi. As Seifi mentioned, our business performance performed very well despite the macroeconomic challenges this fiscal year. Our on-site business, which generates about half of our total company sales, once again held firm, while our merchant team successfully managed through the significant energy cost increases. Our people worked hard to overcome supply chain challenges across the regions, key care facilities running and our customers supplied. I would like to thank the entire Air Products team for their hard work and a job well done. Now please turn to slide 12 for an overview of our full year results. Underlying sales were strong, up 14%, with significant contributions for both price and volume. Overall, price increased 6%, which corresponds to a 15% increase in our merchant business. Year-over-year price improved every quarter in our last -- in our three largest regional segments and across most of our major product lines. Our volume grew 8%, driven by improved hydrogen, new plants, merchant demand and increased sales of equipment activity. EBITDA was up 9% due to favorable price, volume and equity affiliate income, which are partially offset by a higher cost and unfavorable currency. EBITDA margin was down just over 400 basis points and was negatively impacted by over 400 basis points by energy cost pass-through, which drove approximately half the total sales increase, but added no profit. The impact of the energy cost pass-through was particularly noticeable in the Americas and Europe, where we have a meaningful hydrogen business. ROCE has climbed steadily in the past -- last five quarters reaching 11.2%, which is 110 basis points higher than last year. We expect ROCE to further improve as we bring new projects on stream and continue to put the cash on our balance sheet to work. Adjusting for cash, our ROCE would have been 13.6% this quarter. Now please turn to slide 13 for a discussion of our full year EPS. Our full year adjusted EPS from continuing operations was up $1.39 or 15%. Volume was favorable at $0.80 and was particularly strong in Asia and the Americas. The increased sales equipment in our Corporate segment also helped drive higher volume. Price more than offset the significant energy cost increases adding $0.81, driven by our strong price action in our three largest segments. Our other costs were $0.84 unfavorable and were driven by external factors, such as inflation and inefficiencies caused by COVID restrictions in certain parts of China, as well as a supply chain disruption across the region. We also incurred additional costs purposefully to support our future growth. These include resources required to develop projects and bring them on stream, as well as investments and facilities such as our new helium storage cavern, which will generate significant value in the future. We continue to closely monitor our costs and are focused on productivity actions across our businesses. Currency lowered our earnings by $0.24 or 3% as the U.S. dollar strengthened against most key currencies in the latter half of the fiscal year. Since the revenue and cost are denominated in their respective local currencies, this is primarily a translation rather than a transaction impact. Equity affiliate income was up $0.74, primarily due to the first phase of our Jazan project, which contributed as we committed. Our effective tax rate of 18.2% was 70 basis points lower than last year and we expect an effective tax rate of 19% to 20% in FY 2023. Interest expense was lower, adding $0.05 to earnings, primarily due to a reduced debt balance. Now please turn to slide 14 for a review of our fourth quarter results. In comparison to last year, we achieved double-digit growth for both sales and profits as our teams worked hard to overcome considerable macroeconomic headwinds. Each region found its own success and achieved better results through its respective key drivers, which will be detailed later in the regional review. Our underlying sales were up 17% with about equal contributions from both volume and price. Volumes are up 9% better, primarily in Asia and Americas, driven by new plants, recovery in hydrogen and better merchant volumes. For the fourth consecutive quarter, we achieved double-digit increase in merchant pricing, which was up 20% compared to last year. As cost pressures persist, we continue to work hard on pricing each region. Currency translated from the strengthening U.S. dollar negatively impacted our results this quarter, reducing sales by about 6% and EBITDA by 5%. Despite this headwind, EBITDA increased 10% and favorable price, volume and equity affiliate income more than offset higher costs. The 450-basis-point decline in EBITDA margin was primarily attributed to energy cost pass-through, which impacted margins by about 450 basis points. Sequentially, volumes improved across all segments and price increased primarily due to actions in our Europe segment. EBITDA was up 6% sequentially, absorbing 3% of currency headwinds and favorable price and volume more than offset higher costs. Now please turn to slide 15. Our fourth quarter GAAP EPS was $2.56 per share and included a negative impact of $0.32 for two non-GAAP items, both of which were non-cash. First, we recognized a $0.27 per share loss on the divestiture of our business in Russia, which we exited as a result of the Russia’s invasion of Ukraine, as we had previously announced. This charge is separately presented as business and asset actions on our P&L. We also recognized a loss of $0.05 per share for the impairment of two small equity affiliates in Asia, which is included in the equity affiliate line item. Excluding the non-GAAP items, our fourth quarter adjusted EPS was $2.89 per share, an increase of $0.38 or 15% from prior year. We achieved this excellent result despite a negative $0.15 or 6% currency impact. Price, volume and cost together contributed $0.46. Volume contributed $0.33 and was particularly strong in Asia and America. Price, net of variable costs, was favorable $0.39 with Asia, Europe and the Americas each achieving significant price improvements. Price has improved throughout the year due to the outstanding efforts of our regional teams who helped us improve our pricing, net of variable costs, from a modest negative impact in the first quarter to a positive impact in each quarter’s since then. Other costs were $0.26 unfavorable. Almost half of the cost increases this quarter were due to higher incentive compensation, which is performance based and reflective of our strong results. The remaining increase was primarily due to inflation, supply chain disruptions, higher planned maintenance and the addition of resources needed to support our growth. Currency was negative $0.15, which was about $0.05 worse than we had expected when we provided Q4 guidance in July. The Jazan joint venture drove the improvement of equity affiliate income. However, many of our other equity affiliates compared unfavorably due to the strong performance last year, in part due to the lower medical oxygen demand for COVID this year. Now please turn to slide 16. The stability of our business allows us to generate strong cash flow despite the challenging environment. In fiscal year 2022, we generated more than $3 billion of distributable cash flow or almost $14 per share, which is up 15% compared to last year. From our distributable cash flow, we paid over 45% or roughly $1.4 billion as dividends to our shareholders. This leaves more than $1.7 billion available for high return projects, 20% more than last year. This drawn cash flow, especially in uncertain times enable us to continue to create shareholder value through increasing dividends and capital deployment for high return projects. Slide 17 provides an update of our capital deployment. As you see, our capital deployment potential has increased to about $37 billion through fiscal 2027. The $37 billion includes over $8 billion of cash and additional debt capacity available today, more than $17 billion we expect to be available by 2027 and $11 billion already spent. We still believe this capacity is conservative given the potential for additional EBITDA growth, which would generate additional cash flow and additional borrowing capacity. As always, we continue to focus on managing our debt balance to maintain our current targeted AA2 rating. So you can see, our backlog has grown to nearly $20 billion, which will provide substantial amount of growth in the future. We have already spent 30% and have already committed 73% of the updated capacity we show here. We have made great progress and still have substantial investment capacity remaining to invest in high return projects. We believe that investing in these high return projects is the best way to create shareholder value for the long run. We continually evaluate our capital deployment options and determine the best way to use available cash entrusted to us by our shareholders. Before I turn the call back to Seifi, I would like to mention that starting first quarter of fiscal 2023, we will exclude the non-service pension impact from our adjusted results. These non-service-related components and our defined benefit plans, including effects of the changing interest rates and movements of the capital markets are unrelated to our operations. By excluding these items, we believe that we can better provide visibility to our underlying results. The recap of earnings per share by quarter for fiscal year 2021 and 2022 are included in our reconciliation tables available on our websites. The EPS guidance for the first quarter and the full year of fiscal 2023, which Seifi will discuss in more detail later reflects this change. Now to begin the review of our business segment results, I will turn the call back over to Seifi. Seifi?
Seifi Ghasemi: Thank you, Melissa. Now please turn to slide number 18 for our Asia fourth quarter results. Sales and profit both improved double digits despite the continued currency headwinds. Volume and price together were up 19%, but they are partially offset by 7% weaker currencies. Volume by itself was up 15%, benefiting from new, small- to mid-sized traditional industrial gas plants in our on-site business across this region, as well as an increase in spot opportunities for sales. Merchant price was 9% stronger than last year, which increased the region’s overall sales by 3%. Price was up across the key countries and most major product lines. Continued COVID restrictions in certain parts of China modestly reduced volumes and created supply chain inefficiencies that contributed to higher distribution costs. EBITDA was up 13% after -- even after absorbing 7% of negative currencies, as favorable volume and price more than offset unfavorable costs and a lower contribution from our equity affiliates. Sequentially, the strong volume drove both sales and profit increase versus the previous quarter. Now I would like to turn the call to Simon to talk about our European fourth quarter results. Simon?
Simon Moore: Thank you, Seifi. Now please turn to slide 22. Power cost recovery via price for our merchant business is a primary focus to manage the ever higher energy costs in Europe. Our on-site business has contractual pass-through, which enables us to pass the energy cost to our customers and almost all of our natural gas usage is for on-site hydrogen production. As the chart shows, power costs for Europe this quarter soared to more than 5 times the level of the beginning of 2021. Our commercial team has tirelessly implemented price increases to compensate for these costs in our merchant business, turning a headwind at the beginning of the year to a tailwind by year end. Although, we have fully recovered the higher power costs for the year, we are keeping a watchful eye on energy costs heading into the winter season and we remain focused on power cost recovery in this region. . Now please turn to slide 23 for a review of our Europe results. In addition to significant energy cost increases, unfavorable currency movements also pressured our European businesses. All major local currencies were weaker versus the U.S. dollar by double digits. Compared to prior year, price increased 19% for the region, resulting from a 30% increase in merchant pricing. Prices were higher in all key sub-regions and product lines. Our volume was flat this quarter as a favorable contract amendment with an on-site electronics customer offset modestly weaker demand across our businesses. Additionally, our results no longer reflect our immaterial Russia business, which was divested in August. Negative currency reduced sales by 15% and EBITDA by 12% compared to last year. Despite this currency headwind, EBITDA improved 8% as positive price and better mix more than offset higher costs. Higher energy cost pass-through negatively impacted EBITDA margin by about 750 basis points. Excluding this impact, margin was slightly higher than last year. Compared to the prior quarter, price contributed 5% via our ongoing price actions. Volume added another 5% driven by better hydrogen activities following a planned customer turnaround last quarter and the previously mentioned contract amendment. Despite a 5% currency headwind, EBITDA was up 5% as better price and volume more than covered the higher costs. EBITDA margin was relatively flat, excluding the negative impact of higher energy cost pass-through. Compared to Q1 of this year, Europe’s operating income has improved about $50 million or about 50%, thanks primarily to our team’s successful pricing efforts. Now, I would like to turn the call over to Dr. Serhan for a discussion of our other segments.
Dr. Samir Serhan: Thank you, Simon. Now please turn to slide 24 for a review of our Americas results. Strong underlying sales accounted for half of the nearly 40% sales increase compared to last year, while the other half was due to higher energy cost pass-through, which had no profit impact but diluted our margins. Price improved for the region by 8%. This is equivalent to a 21% increase in our merchant business. Prices improved in all key product lines over last year. Our team in the Americas did an excellent job raising prices to more than cover the higher energy cost. Volume grew 12%, primarily due to improvements in merchant and hydrogen. We saw an increase in helium volume this quarter and the demand for hydrogen has been climbing steadily in the past several quarters. We expect hydrogen to follow this recovery path as we move into 2023. Planned maintenance activities have declined compared to last quarter as expected, but they were higher compared to last year. Maintenance activities were significantly below average in the fourth quarter last year. EBITDA grew 8% over last year, driven by positive price and volume, partially offset by higher costs and lower equity affiliate income. Higher energy cost pass-through negatively impacted EBITDA margin by about 650 basis points. Sequentially, volume was up 4% and improved across all product lines. Price was also favorable, 1%, more than covering the higher variable cost. EBITDA increased 7%, mainly due to better price, volume and lower planned maintenance, which more than offset higher of our costs. Now please turn to slide 25 for a review of our Middle East and India segments. Sales and operating income in this segment are modest since our Middle East and India wholly-owned operations are smaller in size. The segment EBITDA is, however, significant since it includes the with the affiliate income related to the design joint venture and our India joint venture INOX Air Products. For the quarter, sales were higher versus last year due to acquisitions. Operating income converted unfavorably to last year due to mainly unfavorable contract settlement in last year. We also expect planned maintenance activity to increase next quarter. The over $40 million increase in equity income included our share of the Jazan joint venture net profit, which is delivering as we expected. We have been receiving cash distributions from the joint venture. Please turn to slide 26 for our Corporate segment. This segment includes our sale of equipment businesses, as well as our centrally managed functions and corporate costs. For our sale of equipment activities, our LNG business historically has been under curve [ph], but our non-LNG related project activities have grown in recent years to become major contributors for this segment. The cadence of the project activities and the timing of sales and profit recognition can vary the segment’s results. Our ongoing effort to support our growth strategy has also increased the centrally managed functions and corporate costs. For the fiscal year, the segment EBITDA improved over $20 million, but the fourth quarter sales and profit were lower than last year primarily due to our sale of equipment project activities. We also added resources to support our growth strategy. As mentioned before, increase for potential LNG projects have jumped recently, but they will not drive our near-term results as these projects take time to develop. We are working hard to signing new projects to maintain the good momentum in this segment. At this point, I would like to turn the call back to Seifi to provide his closing comments. Seifi?
Seifi Ghasemi: Thank you, Dr. Serhan. We believe that investing in high return projects is a better choice for our shareholders and share buyback in the long-term. We are also confident that we can deliver on near-term results while achieving our long-term goals. Although the projects that we seek to execute are large and take time, we have the competencies and the people to execute these projects and have been diligently working on them for many years to get to where we are. Now Air Products has entered a new phase of our company’s evolution, in which we expect a steady stream of meaningful contribution from these new projects going forward and for years to come. By choosing capital deployment over share buyback, we believe that we have traded quick gains in the near-term for greater reward in the future. Now please turn to slide number 27. Economies around the world continue to face considerable obstacles. The conflict in Ukraine persists, COVID restrictions in China may continue, we see that inflation, currency and supply chain issues will remain as headwinds. As always, we will push price -- we will push for price increases to compensate for additional costs, pursue additional volume opportunities, and obviously, pay close attention to our costs. With that background, for fiscal year 2023, we expect our earnings per share to be in the range of $11.20 to $11.50, representing an 11% increase at midpoint over last year. This includes an expected roughly $0.50 of negative currency impact. I would also like to add that our projections for next year are based on the fundamental assumption that the economies around the world performed as we see them today. That means we don’t have a crystal ball so we have not projected any economic growth around the world, neither have we projected a significant recession. Our guidance is based on what we see today in the economies in Americas, Europe and China. For quarter one of fiscal 2023 -- for first quarter of fiscal 2023, our earnings per share guidance is $2.60 to $2.80, up 5% to 13% over last year. Please also note that our prior results for the first quarter benefited from a gain of roughly $0.20 related to the finalization of the Jazan a separation unit joint venture. In terms of CapEx, we see our CapEx expenditure for next year to be approximately $5 billion to $5.5 billion, including the approximately $1 billion for the Phase 2 of the Jazan project. Now please turn to slide number 28. As you may recall from our last earnings call, I have been hosting in-person discussions with our employees across the regions to share our strategy and answer their questions. My goal is to talk with our more than 21,000 employees around the world over the course of the next year in small groups. I am happy to say that our employees around the world share our core values and focus on our common goals. Their commitment and motivation are truly a long-term competitive advantage. As I stated at the beginning of this call, I am proud to be working alongside them to make Air Products the leader of the clean energy future for the world. Now, we are more than pleased to answer your questions.
Operator: Thank you very much, sir. [Operator Instructions] I will now move to our first question, which comes from Steve Byrne from Bank of America. Please go ahead. Your line is open.
Steve Byrne: Yeah. Thank you. I wanted to ask a little bit about this greenfield project up in New York. The capital costs at $5 a watt seem a little high. Is this an undeveloped site, and maybe more importantly, what do you see as the primary demand for this product? It’s a pretty remote location. What would be the end markets that you are going to be selling this liquid hydrogen into?
Seifi Ghasemi: Excellent question. Good morning. First of all, in terms of the capital cost, this is a greenfield site. Number two, it includes, if you are comparing it, for example, to what we are doing at NEOM, it includes liquefaction, because we believe that the future of hydrogen for mobility is in full of liquids rather than gas hydrogen. Therefore, the facility is designed to include the liquefier and it also includes auxiliary investments in order to develop the site and also in terms of how we get the product to the customers. The primary market that we are targeting is, obviously, hydrogen for mobility. The site might seem remote, but once you have liquid hydrogen, the cost of distribution of liquid hydrogen is not that significant. We right now have liquid -- make liquid hydrogen in -- near Toronto in Canada and sell it in California. So the location we chose it because of the proximity to the power and the site that was there and access to the water. So I am not concerned about the distribution costs because that is not going to be that significant in the overall scheme of things. And besides that 35 tons a day, considering that any heavy truck on the average uses about 60 kilograms per day, you need about 600 trucks and it will consume the output of this facility. So we are very optimistic about it and we are very thankful to the State of New York, to NYPA and to the Governor for facilitating us locating in this location and using hydro power.
Steve Byrne: And Seifi, one follow-up for you on the European pricing results in merchants up 30%. Your two large competitors reported something similar. That’s really impressive. Can you comment on how much of that would be a surcharge that’s potentially reversible and would you characterize your primary merchant customers as the hydrogen cost is relatively modest in their cost deck and thus they can absorb a 30% increase?
Seifi Ghasemi: Well, the price increases in Europe are mainly on liquid oxygen and liquid nitrogen and liquid argon and helium, and obviously, hydrogen, all related to the cost of electricity. And in addition to that, there is general inflation. So the cost increases are a reflection of the increase of our overall cost. So if electricity prices go down, it doesn’t mean that all of our costs are necessarily have gone down. And therefore, we are going to try to hang on to the price increases for as long as we can because a lot of it is justified just based on inflation rather than just purely power costs.
Steve Byrne: Thank you.
Seifi Ghasemi: Yeah. Thank you.
Operator: Thank you. We will now move on to our next question over the phone, which comes from Jeff Zekauskas from JPMorgan. Please go ahead. Your line is open.
Jeff Zekauskas: Thanks very much. I am sure, Seifi, in your spare time, you read the Inflation Reduction Act. In calculating the tax benefit for your Louisiana facility, is it $85 a ton times 5 million tons or $425 million a year or is it a bigger number or a smaller number?
Seifi Ghasemi: Yeah. Good morning, Jeff. The numbers are very clear in the Inflation Reduction Act with respect to CO2 sequestration. For every ton, you get $85, and obviously, our project in Louisiana is going to produce 5 million ton a year of CO2 that we plan to sequester, so your math is exactly correct. We will get a benefit of about $425 million, $430 million a year for 12 years in doing the sequestration after-tax. That is correct.
Jeff Zekauskas: Okay. Second question maybe is for Melissa. In your cash flow statement, you have other adjustments for the year of negative $304.9 million, call it, negative $305 million, what is that? And your undistributed equity earnings are negative $215 million versus, I think, $481 million of equity income. Is that going to get any better in the future, so what’s the first number and is the second number going to improve?
Seifi Ghasemi: Yeah. I can answer that question, but you wanted Melissa to answer. That’s not a problem. Melissa, would you please take that question?
Melissa Schaeffer: Yeah. So the other investing activities, is that your question, Jeff?
Jeff Zekauskas: The other adjustments, because other adjustment is negative $304.9 million, what’s that?
Melissa Schaeffer: Okay. Thank you. So that is largely intercompany CTA, Jeff. There is a portion of that is associated to one of our large projects deferred costs, but the massive majority is associated to our intercompany CTA.
Jeff Zekauskas: So does that change next year?
Melissa Schaeffer: So that will -- there will be a decrease next year associated again to that role, that the large project deferred cost, but it won’t change largely now.
Jeff Zekauskas: Okay. And the undistributed earnings of equity method investments, are we going to get closer to the equity income?
Melissa Schaeffer: So, Jeff, that’s largely associated to our project for JIGPC and so the fluctuations in there is all just the timing of the distributions from that joint venture.
Jeff Zekauskas: Okay. Great. Thank you very much.
Melissa Schaeffer: Yeah. Thank you, Jeff.
Seifi Ghasemi: Thank you, Jeff.
Operator: Thank you. [Operator Instructions] We will now move on to our next question on the phone, which comes from Mr. John Roberts from Credit Suisse. Please go ahead.
John Roberts: Thank you and welcome, Sidd. Seifi, for the clean hydrogen, other than sustainable aviation fuel, do you expect to have primarily a merchant pricing model where you don’t have any volume guarantees?
Seifi Ghasemi: For the hydrogen business? No, I think, that it will be a mixture, because I think some customers, even for when they are using it for fuel, like, large trucking firms and all of that, they would want to and they have talked about the possibility of long-term contracts to ensure supply. So I think that we will have a combination of both, John.
John Roberts: Thank you. I will past it on.
Seifi Ghasemi: Sure. Thank you. 
Simon Moore: Operator, will you please go to the next question.
Operator: Certainly, sir. Thank you. We will now move on to our next question over the phone, which comes from David Begleiter from Deutsche Bank. Please go ahead.
Unidentified Analyst: Hi. This is David Wang [ph] here for Dave. I guess, on the SAF project, what’s the expanded scope on the SAF project include and is any of the increased investment due to any project cost inflation?
Seifi Ghasemi: The main reason is that the total capacity of the plant is approximately 340 million gallons a year. But the portion, that in the SAF has been increased, because with the IRA, as you know very well, there is going to be $1.25 incentive for making SAF. So we have changed the design of that plan to make more SAF and that is adding to the cost. Okay, Dave?
Unidentified Analyst: And then it looks like the Debang project in China has been delayed from second half 2023 to first half 2024. Can you talk about what’s causing the delay?
Seifi Ghasemi: It’s basically COVID-related and the COVID shutdowns that China is going through over there. Next question, please?
Operator: Thank you. We will now move on to our next question over the phone, which comes to Mr. Josh Spector from UBS. Please go ahead.
Josh Spector: Yeah. Hi. Thanks for taking my question. Seifi, I was wondering if I could clarify your assumptions for next year, I mean, particularly where you say no recession predicted. If you are kind of run rating current demand, I mean, I think, it’s arguable that Europe is in a recession, China is obviously underperforming. Are you assuming that that continues or are you assuming any improvement in those markets?
Seifi Ghasemi: No. We are not assuming any improvement in the markets. We are assuming improvement in our results, but we are saying that we have made our forecast for next year based on what we see today, that you are right, economic activity is down in Europe, it’s down in China and it’s debatable where it is in the U.S. We are basing our assumptions on currently what we see, that’s correct. We are not assuming any significant economic growth and we are not assuming any significant deterioration on where we are. Where we are is not a good place to be, but we are not expecting that to get much worse.
Josh Spector: Thanks. That’s helpful. And if I could just clarify, within like -- within Europe, what are the base volumes down? So I am not sure how much that contract amendment helped volumes, so just curious on the base level there?
Seifi Ghasemi: You mean the contract amendment with respect to what? I didn’t get it?
Josh Spector: On European volumes, you talked about volumes flat with the base business down the helped by the contract amendment for the volumes. So I am just wondering what the base volumes are in Europe today or in third -- in your September quarter?
Seifi Ghasemi: Are you referring to our on-site business or our merchant business? I think I am not relating to the contract amendment. Simon, can you help me maybe? Yeah. Any follow on…
Simon Moore: Yeah. Sure.
Seifi Ghasemi: Yeah.
Simon Moore: Yeah. So, in Europe, we said our volumes were roughly flat. We said we had a positive contract amendment and so our base volumes were down slightly. We didn’t quantify that, because of the details around the contract amendment, but the base volumes were down modestly, Josh.
Seifi Ghasemi: Right.
Josh Spector: Okay. Thank you.
Seifi Ghasemi: Sure. Okay.
Operator: I will now move on to our next question, sir, which comes from John McNulty from BMO Capital Markets. Please go ahead.
John McNulty: Yeah. Thanks for taking my question, Seifi. So, I guess, first one would just be, when you think about the opportunities around the IRA bill and the potential for green versus, say, blue hydrogen and carbon sequestration. I guess when you look at your backlog of opportunities, not the ones that you have already announced but future ones? I guess which way would you say Air Products may be leaning, is there more opportunity, would you say, in the blue arena, in the carbon sequestration arena or would you say green is kind of going to be the next big push for you guys? How would you characterize it?
Seifi Ghasemi: Yeah. Good morning, John. Very good question. I would like to say, all of the above. That means that the IRA is very favorable about pursuing green hydrogen opportunities and we will do, as you saw with the announcement about the project in New York and we will do additional green hydrogen projects in the United States. And then the coverage castration and the $85 a ton will help us do additional blue hydrogen projects. We are -- as you know, we are committed to the transition and the IRA provides opportunity for us to do both of those things.
John McNulty: Okay. Fair enough.
Seifi Ghasemi: Is that okay, John?
John McNulty: Yeah. No. That’s fine. And then, I guess, the second question would just be, I saw you had signed, I guess, an agreement with one of the offshore -- a port project in the U.K. There was another one earlier in the year, I believe it was in the Netherlands. I guess can you speak to the confidence that you have around those regions actually taking in green ammonia, green hydrogen and the demand for it? Are you getting more comfortable with the demand environment in Europe for your green project most likely coming out of NEOM?
Seifi Ghasemi: Yes. There has been -- especially since the war in Ukraine, there has been significant additional conversations about the need for green. Some countries in Europe are very much committed to green. Some countries are considering also blue. But the level of conversation in terms of significant demand for green and blue hydrogen in Europe is noticeable. Yes, you are very right on that.
John McNulty: Okay. Thanks very much for the color.
Seifi Ghasemi: Thank you, sir.
Operator: Thank you. We will now move on to our next question over the phone, which comes from Vincent Andrews from Morgan Stanley. Please go ahead.
Vincent Andrews: Thank you, and good morning, everyone. Seifi, with the New York project announcement, there’s a reference to potentially building a fueling station network in the Northeast. Could you talk a little bit more about that and what would sort of get you over the line on that project?
Seifi Ghasemi: Well, obviously, we have the liquid hydrogen. In order to sell it, we would need hydrogen refueling stations at different locations so that the trucks can come and stop buy and get fuel. There are a lot of options about how we are doing that and we are exploring all of those options. This is something that we know how to do. I think we already have about 112 of these stations or more than that around the world. We have patents. We know how to build these things. We know how to design these. And I have to say that, I think, we are at the forefront of technology for these kind of especially liquid stations. So we will be building those in order to be able to sell the product.
Vincent Andrews: Okay. And just as a follow-up, post the IRA, there’s been a lot of announcements, no surprise, for projects in the U.S. How are you thinking about the risk of CapEx inflation in the United States post the IRA?
Seifi Ghasemi: Well, I think, in the context of the U.S. economy, even you add up that all of those projects are real projects rather than just MOUs. But I mean, it’s not enough to kind of affect the inflation of the cost of a plant that you are going to build in the U.S., I don’t think so. We are not focused on that. We don’t think that’s relevant.
Vincent Andrews: Thanks very much.
Seifi Ghasemi: Thank you, sir.
Operator: Thank you. We will now move to our next question over the phone, which comes from Mike Leithead from Barclays. Please go ahead.
Mike Leithead: Great. Thanks. Good morning, guys. Just one clarifying question, I think, for Melissa. But, Seifi, if you want to answer, that would be great, too. The pension adjustment you are now making for adjusted EPS. I think, in your reconciliation, you disclosed it was a $34 million income in fiscal 2022. I understand you plan to exclude it from adjusted EPS going forward. But Melissa, what is your best estimate of what that line item might be for 2023?
Seifi Ghasemi: Yeah. Melissa should answer that. She does a better job than I would do on this. Melissa?
Melissa Schaeffer: Yeah. Thank you, Seifi. Yeah. So for the non-service components, so if I look back at FY 2022, that was about $0.15 benefit. But we are forecasting for FY 2023 an anticipated $0.35 headwind moving forward.
Mike Leithead: Got it. And just to clarify, the $0.35 is just in that one year, it’s not year-over-year, $0.35, correct?
Melissa Schaeffer: That’s correct. It’s readjusted every year.
Mike Leithead: Great. Thank you so much.
Melissa Schaeffer: And we will -- yes, absolutely, we will provide a reconciliation table for that.
Operator: Thank you. We will now move on to our next question over the phone, which comes from Mike Harrison from Seaport Research Partners. Please go ahead.
Mike Harrison: Hi. Good morning. I was wondering if you could talk a little bit, Seifi, about what you are seeing in Europe with regard to natural gas prices. There’s been a recent decline there, obviously, that impacts the pass-through. But do you think that maybe changes your ability to get pricing and do you have any encouraging feedback from customers that they are going to be running harder now that they are seeing some relief on natural gas costs?
Seifi Ghasemi: Yeah. Good morning, Mike. I think the natural gas prices increases in Europe have moderated, but there’s still natural gas prices in Europe are around $30 a 1 million Btu, which is 6 times or 7 times what they used to be. In terms of the natural gas prices, as you correctly said, is mostly attached to cost for us. The relevant thing becomes if that higher natural gas costs affect the cost of electricity, which they do. And we haven’t seen the electricity prices moderating as much as obviously the -- or other people would like to see it, but I do not expect a significant change. But energy prices, as we all know, are pretty unpredictable. It depends on a lot of things, so I don’t want to speculate on that. But the one thing that I hope, Mike, we have demonstrated is that we have the ability, the agility and the determination to be flexible and react to that and recover the cost increases, which we have done. I think that’s the good news.
Mike Harrison: All right. Thank you for that. And then my other question is on the hydrogen business in the U.S., kind of two pieces to this question. First of all, are you starting to see some better utilization and better hydrogen spot volumes from your refinery customers as we see diesel stocks being relatively low? And can you comment at all on the maintenance outages that you are expecting in Q1 compared to Q4 levels, is it going to be a greater cost than you saw in Q4? Thank you.
Seifi Ghasemi: Sure, Mike. I would like to have Dr. Serhan answer that question. He mentioned something about that in his prepared remarks. But Dr. Serhan, would you like to kind of expand on your remarks about hydrogen demand?
Dr. Samir Serhan: I mean, definitely, it’s been picking up as we stated before in the last few quarters. So we are at the level now in our pipeline system in Texas, Louisiana really to the level before COVID and is still even recovering further. The refineries our customers basically have the high utilization. The demand is very high. And definitely, we see more opportunities for additional volume and we are really doing our best to add even more capacity to our pipeline system, so we can supply our customers.
Mike Harrison: Thank you.
Operator: Thank you very much. We will now move to our next question over the phone, which comes from Duffy Fischer from Goldman Sachs. Please go ahead.
Duffy Fischer: Yes. Good morning, guys. First question is just around the APAC business. The volumes there were very strong, up 16% relative to only up 2% last quarter. And Seifi, I think, you called out a number of kind of smaller traditional ASUs starting up. So is it fair to anniversary that number over the next three quarters that APAC should be very strong just because of the business that we have built in already?
Seifi Ghasemi: Hi, Duffy. How are you? I -- you are asking a very, very good question and thank you for noticing. The fact that we have grown our traditional business, we are not just focused on large projects in that part of the world. Theoretically, what you are saying is correct. The only unpredictable thing in this is what is going to happen to these shutdowns in China, because right now one of the provinces that we operate is Shanxi Province that found some COVID cases in some of the coal mines and then now the whole state is shutdown and all that. Those things do affect our business in the short-term, so and that -- they are totally unpredictable. But if you assume that none of those things will happen, obviously, the fact that we are bringing these new facilities online, they have helped last quarter and they will help in the future, absolutely.
Duffy Fischer: Perfect. And then maybe one just on your crystal ball because you have seen a few cycles. When you see the data you have coming in, when you look at the world around you and you look at your customers, how do you think this cycle plays out kind of through this quarter into the early part of next year? Is there another leg down for your broader customer base or do you think we have kind of put in the trough here in the calendar Q4 and things get better as we get into next year?
Seifi Ghasemi: So, Duffy, I am a little bit hesitant to predict that, because, obviously, with our business, we are a leading indicator in terms of -- since we don’t have any inventory, I can tell you exactly what is happening now. But -- and now you know the state of affairs. But predicting what is going to happen in the next month or two months or three months, especially both in China and also in the U.S. and all of that, with so many different things moving would be very difficult. But this is why, as I said, for our guidance, we assume that things are the way they are right now rather than predicting any of or down. So we have to wait and see. Sorry about that. I can’t be specific with that.
Duffy Fischer: No. That…
Seifi Ghasemi: That was specific enough.
Duffy Fischer: Fair enough. Thank you, guys.
Seifi Ghasemi: Yeah. Thank you.
Operator: Thank you very much. We will now move on to our next question over the phone, which comes from Christopher Parkinson from Mizuho. Please go ahead. Your line is open.
Christopher Parkinson: Great. Thank you so much. When you are looking at the world right now, can you just give us a quick update on where your rough estimates are for merchant operating rates in terms of just what you are seeing in the macro? Thank you.
Seifi Ghasemi: Sure, Chris. Good morning. Yes.
Christopher Parkinson: Good morning.
Seifi Ghasemi: I can give you that. I mean, right now, if you look at all of Asia, we are at around 77%, 78%. Europe is, depending on which country you are, it goes somewhere from as high as maybe 81%, 82% in U.K. to as low as 72%, 73% in certain parts of Europe. And in the U.S., we are at around 77%, 78%.
Christopher Parkinson: Very helpful. And Seifi, entirely understanding that you don’t necessarily have a crystal ball, obviously, there’s been a lot of fluctuation in regional macro activity this year. It’s been -- all been caused by various factors in Europe and China and so on and so forth. But if we just circle back to a previous question on China, I mean, what’s your best, as you know, I mean, what’s your best view of the outlook for the Chinese economy after the Lunar New Year next year in terms of what you are hearing from the ground, what you are hearing for your customers, just any insights would be very helpful? Thank you.
Seifi Ghasemi: Well, Chris, thank you very much. Obviously, in China, everybody is, obviously, when they talk to you, nobody wants to be pessimistic that, everybody wants to be optimistic. So it’s very difficult based on the input that you get talking to different people to make an estimate of what the real economy will do. I do not expect a significant change up or down. I think it will be steady. But who knows what’s going to happen. But right now, it’s my best estimate is exactly what we have put in our -- for our guidance is that things will stay where they are currently in terms of utilization and in terms of the GDP growth, okay.
Christopher Parkinson: Understood. Thank you very much.
Seifi Ghasemi: Thank you, Chris.
Operator: Thank you very much. We will now move on to our next question over the phone, which comes from Kevin McCarthy from Vertical Research Partners. Please go ahead.
Cory Murphy: Hi. Good morning. This is Cory Murphy on for Kevin. Two questions on your project pipeline. First, press release highlighted $1.3 billion of major projects in electronics, and on slide 30 I see $900 million in Taiwan. What are the major projects you have in electronics, any color you can provide on timing, location and future activity would be helpful? And then second, it appears as though the net zero hydrogen project in Alberta increased in size by C$300 million to C$1.6 billion. Why is that and what impact might that increase have on your project return expectations? Thank you.
Seifi Ghasemi: Sure. In terms of the Canadian operation, the increase was a little bit of changes in Scope and also with respect to once we got finalized with our customer about what they wanted. The return on that project is still very good, because we adjusted the prices to compensate for that. So I don’t expect any downside on that, and actually, we will have some more to say about that project in the next few weeks. With respect to the electronic projects, I can’t say more than what we have disclosed, because we are under confidentiality agreement with the customers and the customers don’t want us to talk about the project because they don’t want anybody to know where it is and what they are doing. But you have the details. It’s the $900 million in Taiwan for the very big semiconductor manufacturer. So you can almost guess what that is and the other one is for some other people. So I can’t give you any more -- be any more specific than what we have already been, because of the restrictions by our customers.
Cory Murphy: Understood. Thank you very much.
Seifi Ghasemi: Yeah.
Operator: Thank you. We will now move on to our next question over the phone, which comes from Laurence Alexander from Jefferies. Please go ahead.
Dan Rizzo: Thank you. This is Dan Rizzo on for Laurence. Thank you for taking my question. You mentioned a little bit about COVID disruptions affecting supply chain and some projects in China. I was wondering if they are affecting your operations or your customer’s operations as well.
Seifi Ghasemi: Well, the reason we mentioned is that, because they did affect our operations, because it caused, most of these lockdowns affect our distribution costs and sometimes it causes some of the plans to have to shut down. So the reason we mentioned it is because they did have an effect on our operations. Yes.
Dan Rizzo: And just final question, just given the current environment with interest rates, is debt pay down a focus at all? I mean, I know you have a solid rating, but I was just wondering if it’s something that you are considering given the potentially elevating costs?
Seifi Ghasemi: Well, our debt is in form of bonds. It’s not -- most of our debt -- we have approximately $7.5 billion, $8 billion of debt. Most of it is corporate bonds, which -- where the interest rates are fixed and we will pay them down based on the schedule that we have in the bond payments. And we disclose those, so you can see when you are supposed to pay down significant amounts of our debt, okay.
Dan Rizzo: All right. Thank you very much.
Seifi Ghasemi: Thank you. Sure. Thank you.
Operator: Thank you. We will now move on to our next question over the phone, which comes from Eric Petrie from Citi. Please go ahead.
Eric Petrie: Hi. Good morning, Seifi.
Seifi Ghasemi: Hi, Eric, how are you?
Eric Petrie: Good. Any update or expected potential milestones from your MOU with Cummins and developing fuel cells for heavy-duty trucks?
Seifi Ghasemi: They are working on it and they are -- they have the truck and the development and we are looking forward and receiving the trucks. I think they are a little bit delayed in terms of the schedule that they have promised us. But we are -- we continue working with them. And I have to say that…
Eric Petrie: Great.
Seifi Ghasemi: … we also are working with other people, too. It’s not just Cummins.
Eric Petrie: Okay. And then on your New York green hydrogen project, I think, CapEx translates to roughly $14 million a ton per day. How do you see that for future green hydrogen projects going forward and the reduction in costs between electrolyzer, power and liquefication costs?
Seifi Ghasemi: Well, the cost is very much location dependent in terms of how much work do you have to do, in terms of greenfield site, existing sites, what are the things that you have to do in order to get a real project going. But I don’t expect the cost of building green hydrogen projects to significantly come down. There is no reason for that. We have inflation. And this thing about the fact that cost of electrolyzers will go down is a myth, number one, and number two, the electrolyzers are not a significant part of the cost of building the green hydrogen facility. So that is just something promoted by somebody, I don’t know who. But in the real world, the cost of building a plant two years from now or five years from now or three years from now will be higher because of inflation. So the sooner you build these things, the better it is.
Eric Petrie: Thank you.
Seifi Ghasemi: That okay? Sure. Thank you.
Operator: Thank you. We will now move on to our next question over the phone, which comes from Sebastian Bray from Berenberg. Please go ahead.
Sebastian Bray: Hello. Good morning and thank you for taking my questions. I would have two, please. The first one follows up on the earlier question on interest costs. If I look at the refinancing schedule for Air Products and the expansion in CapEx over the next two years or three years, the current interest charge in 2021 was $128 million. Melissa, would it be plausible for this number to double the space of two years or three years? That’s my first question. My second one is on changes in the Scope to investments. We have had two or three investments be upscaled. Is there a chance at all that the same thing could happen to Louisiana and the $4.5 billion blue hydrogen project? Thank you.
Seifi Ghasemi: Okay. I will have Melissa answer the first question that you had and the second question that you had with respect to the project in Louisiana. We are looking based on the Investment Reduction Act about the Scope of that project and we might actually change the Scope and increased the Scope, and as a result, increase the capital cost for that project. So that all depends on what we conclude in terms of what is the best options for us to take advantage of the legislation. So, yeah, it is possible that we would, say, a year from now, two years from now, that we have increased the Scope of that project and we spent, I don’t know, $5 billion or $7 billion on that project, depending on what we decide to do. So, now, Melissa, would you like to answer the first question, please?
Melissa Schaeffer: Yeah. Thank you, Seifi. So we have talked a lot about a crystal ball. Obviously, we don’t have a crystal ball of where interest rates are going to go. But we don’t anticipate them moving up to a double level in the next year. That being said, right now, given our current access to the liquidity market, we actually don’t anticipate having to go to the debt market in the near-term. But obviously, we are always evaluating the market and the rate that we obtained given our AA2 rating.
Sebastian Bray: That’s helpful. Thank you for taking my questions.
Melissa Schaeffer: Yeah. Thank you.
Seifi Ghasemi: Yeah. Thank you.
Operator: There are no further questions queued over the phone at this time. Mr. Ghasemi, I would like to turn the conference back over to you, sir, for any additional or closing remarks.
Seifi Ghasemi: Yeah. Thank you very much. I would just like to thank everybody for listening to our presentation. We appreciate your interest and we look forward to discussing our results with you again next quarter. As I said earlier, please stay safe and healthy and all the very best. Thank you very much and also thank you very much for the very good questions. We appreciate it. Have a great day. Thank you.
Operator: Thank you very much for the speakers. Ladies and gentlemen, this does conclude today’s call. Thank you very much for your participation. You may now disconnect.